Operator: Good day, ladies and gentlemen and welcome to the Second Quarter 2015 Lincoln Educational Services Earnings Conference Call. My name is Dave and I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. [Operator Instructions] As a reminder, the call is being recorded. And now, I would like to turn the call over to Mr. Doug Sherk. Please proceed, sir.
Doug Sherk: Thank you, Dave and good morning everyone. Before the open of the market today, Lincoln Educational Services issued a press release announcing its second quarter 2015 financial results. The release is available on the Investor Relations portion of the Company’s corporate website at www.lincolnedu.com. Today’s call is being broadcast live on the Company’s website again www.lincolnedu.com and a replay of this call will also be archived on the Company’s website. Statements during today’s call regarding Lincoln’s business that are not historical facts may be forward-looking statements that involve risks and uncertainties, forward-looking statements should not be read as a guarantee of future performance or results, and will not necessarily be accurate indications of the times at, or by, which such performance or results will be achieved. Forward-looking statements are based on information available at the time of those statements are made and/or management’s good faith belief as of that time with respect to future events, and are subject to risks and uncertainties that could cause actual results or performance differ materially from those expressed in or suggested by the forward-looking statements. Important factors that could cause such differences include, but are not limited to: our failure to comply with the extensive regulatory framework applicable to our industry or our failure to obtain timely regulatory approvals in connection with a change of control of our Company or acquisitions. Our success in updating and expanding the content of existing programs and developing new programs in a cost-effective manner or on a timely basis; risks associated with changes in applicable Federal Laws and Regulations, including final rules that took effect during 2011 and other pending rulemaking by the U.S. Department of Education. Uncertainties regarding our ability to comply with Federal Laws and Regulations regarding the 90/10 rule and cohort default rates. Risks associated with the opening of new campuses; risks associated with integration of acquired schools; industry competition; our ability to execute our growth strategies; conditions and trends in our industry; general economic conditions; and other factors discussed in our Annual Report on Form 10-K for the year ended December 31, 2014. For a discussion of such risks and uncertainties, which could cause actual results to differ from those contained in the forward-looking statements, see “Risk Factors” in Lincoln’s Annual Report on Form 10-K for the year ended December 31, 2014. All forward-looking statements are qualified in their entirety by this cautionary statement, and Lincoln undertakes no obligation to revise or update this news release to reflect events or circumstances after the date hereof. And now, I’d like to turn the call over to Scott Shaw, President and Chief Executive Officer of Lincoln Educational Services.
Scott Shaw: Thank you, Doug. Good morning everyone and thank you for listening on today’s call. Joining me on the call today is Brian Meyers, our Chief Financial Officer. I will begin with a review of our progress so far implementing our 100-day plan and then an overview of the second quarter. Brian will then provide additional color on segment performance as well as update our outlook for the remainder of 2015. On last quarter’s call, we announced that our team would be focused on three key initiatives designed to strengthen Lincoln. Our initiatives included securing a new credit agreement to provide us with the financial flexibility to execute our plans implanting operational efficiencies across our campus incorporate organizations and increasing the awareness of the job opportunities for middle skilled employees amongst respective students. As we close-in on 100-day mark, we have been able to make strong progress toward achieving each objective. The first about the plan was to replace our expiring credit facility, and I am pleased to report that we achieved our objective. As we’ve reported yesterday, we have entered into a term-loan agreement for a total of $45 million, the loan exactly mature in four years and then probably used to pay down our existing debt as of the closing day. Our second initiative was to continue to transform Lincoln in a leaner more nimble organization by implementing companywide efficiencies that lower our cost structure to improve our profitability while slow maintaining our high standards. We have a limited positions consolidated resources, renegotiate leases, removed excess costs and streamlined operations. Our focus on cost reductions in greater efficiency are ongoing as we continue to operate in a challenging environment, we’ve remained focused on our bottom line. Our second quarter results demonstrate that we are successfully managing our expenses and we will continue to analyze the company’s cost structure for future opportunities to cut costs and increase efficiencies. Our third and final action of the 100-day plan is to use the additional resources gained through the first two initiatives to increase the awareness among perspective students of employer demand for middle-skilled workers. We continue to see the growing need for a skilled labor force as well as a significant market opportunity to fill that gap. Our objective now is to make students and their families more aware of our offerings making more people aware of the great opportunity that Lincoln offers is our greatest challenge and opportunity. To accomplish this objective, we are complementing our advertising message by partnering with a various respective employers to better inform students a program offerings and employer demand. We believe there are long-term rewards to further increase our industry partnerships. By leveraging our employers and industry partners, we will strengthen our brand and reach a broader audience. Each month we have been able to establish new arrangements with industry partners they assist us in recruiting and retaining new students. Some of the employers with whom we have partnered with include AutoNation, CarMax, [Hendrick] Automotive, NAPA, Caterpillar and FCA which is Fiat Chrysler. In addition, employers continue to come to us to establish specialized training opportunities to enhance our student’s employability. I am very proud to announce our new partnership with Audi of America to participate in the Audi Education Training partnership program. Lincoln is the first small Group to enter into this new training program. We’ve identified four campuses with this initial launch and look forward to providing our students with this exciting opportunity. Students will gain specialized training in Audi vehicles using Audi tools and diagnostic equipment which offer students the opportunity for advance standing at an Audi dealership. Another example of our potential outcome from this effort with the announcement last week of our launch of the Miele Specialized Training program at Mahwah New Jersey campus. Miele is a leading global manufacturer of high quality residential and commercial appliances. Program is a hands-on elective course offered by Miele at no additional cost to qualified Lincoln students in the HVAC and Electrical & Electronic Systems Technician programs. Selected students receive training focused on Miele systems and equipment, and by the end of program, students will have developed skills and hands-on experience that can open doors to careers working on Miele appliances. Lincoln and Miele have worked together for a number of years, and this program both extends and broaden that relationship while creating additional potential employment opportunities for Lincoln student. As part of our relationship, Miele is sponsoring a training room as fully outfitted with [indiscernible] appliances giving students experience working with the full line of Miele products. In the past, Miele has hired numerous Lincoln Tech grad and we anticipate the number to grow 100-days program. A third example, is our new partnership with FW Webb who is the northeast largest distributor of capital products that help build, maintain, repair and operate homes and facilities, they supplied us with a latest green technology for our HVAC program at our New Britain, Connecticut campus. Not only [indiscernible] opportunity to work on leading green refrigeration technologies, but the lab also serves as a showroom which attracts potential employers throughout the region. By bringing employers on to our campus, they become exposed to our students and to our training this helps with both recruiting new students as well as with placement graduates. These are just some of the new initiatives that we’ve launched in the past months. As demand from middle skilled workers continues to grow and as more and more companies discover how Lincoln can become a key solutions provider for their hiring needs, we expect to announce more these opportunities. On to our performance. Similar to our first quarter, we saw a slight decline in our total revenue which totaled $72.4 million. As I mentioned previously, we realized a significant improvement in our operating loss which was directly related to our cost cutting and improved efficiencies. In the quarter, our operating loss improved by nearly 34% over last year to 6.2 million. A decline in revenue was due to fewer starts and a smaller population in the second quarter compared to last year. Total Starts with the quarter were approximately 3,100 down 12% one aspect is decline starts with a result of external factors discussed on previous calls including the improved economy and employment rate. Another component decline effected strategic decision that we have made to rationalized our costs. In February, we suspended enrollment at our Front Park Florida Campus which has had an obvious impact on our Starts. Additionally, in the second quarter we made a strategic decision to not initiate some smaller classes that would not generate appropriate returns for the Company. Finally, we did experience some short-term disruption to our business as we executed on our rationalization plan. Then vast majority of these efforts occurred in the healthcare and other profession segment and when looking at our reporting segments the distinct of operations difference between the two. Transportation and skilled trades Starts were down approximately 7% while healthcare Starts fell by approximately 18%. Although we continue to focus on ways to improve our healthcare Starts, the discrepancy between the two reinforces our strategy to focus on the greatest opportunities available to us. Returning to profitable growth while enhancing our outcomes is our number 1 focus. Our marketing department is continuously refining where and how we spend our dollars. We are decreasing the volume of lower converting leads to free up our admissions teams spend more time educating and engaging with perspective students. We see improvements by expanding our centralized call center and large chat processes. Today only a handful of campuses are benefiting from these services and over the coming months we will be bringing more campuses online. We have just completed the rollout of our new sales force CRM software which we expect will further enhance the experience and communication between our campuses, our admissions counselors and our students. We’ve recently made investments to expand our social media presence and we continually look to enrich our website. While the benefits of all these initiatives are not immediate, we believe that there various people, process and partnership actions will result in better communication of our value proposition which we expect will result in growth. We will keep you upraised of our progress. I am very pleased to report, that we continue to equal or outperform last year’s results for outcomes. For the first six months, our retention rate is better and our placement rates remain strong. Our 90/10 remained safely around the 80% level and our call default rates are tracking to improve from last year. Qualitatively -- product qualitatively we’ve remained visually focused on strengthening our outcomes across the Board as we seek to maximize the educational return on investment for each and every student. Turning to the future, to support our desire to return to growth, we continually seek new markets and ways to strengthen our programs. We have several exciting developments I’d like to share with you as we head into the second half of 2015 we all know it’s already mentioned. We have been awarded a multiyear contract with a potential to earn $4 million over five years by providing HVAC training with the government agency. We’ve engaged in individual to help us pursue various government contracts we are optimistic about the opportunities for future contracts. These government contracts allow us to leverage our training expertise, expertise with a multiyear potential revenue stream. In addition, we’ve established a relationship with the United Association of steamfitters, pipe fitters, welders in HVAC technicians which will enable graduates of our welding pipe program to take additional classes in pipe-fitting to join the union at advance standing. We are currently, waiting for the Department of Labor’s final approval for this program. This new association should help encourage more students to enroll in Lincoln’s welding program. Furthermore, two weeks ago, we hosted 11 Caterpillar dealerships representing 15 states at our national campus. Over a two day period over 500 students were interviewed. This is the second year that we have hosted this event and the attendance was about 20% greater than last year. As a result of the success by the Caterpillar dealerships in hiring our students, Caterpillar Corporate included in Oracle and Lincoln in their internal news letter to encourage more dealers to partner with Lincoln schools to help solve their heavy duty technician needs. Finally, we are working with numerous organizations such as hospitals, certification for medical assistance to other automotive OEMs who are seeking to attract more technicians to their dealerships. Industry employers are coming to us to help them solve the workforce needs. The success of our students over the past decade is our best marketing tool. We will continue to strengthen our programs enhance the soft and technical skills of our students and build long-term relationships with employers in order to secure our niche in post-secondary education. We appreciate the confidence demonstrated by our partners in supporting Lincoln as an organization of the forefront of preparing students for mutually productive careers. The company is committed to both maintaining and expanding that standard of the excellence while returning to profitability. Now I’ll turn the call over to Brian to review our financial results. Brian?
Brian Meyers: Thank you, Scott. Given the information we’ve providing our results release this morning. I’ll focus my comments on the segment performance for the second quarter as well as some key financial metrics and our revised financial guidance for 2015. Our transportation and skilled trades segment showed significant operating income improvement over the previous year. Revenue decreased slightly to $42.4 million when compared to the previous year primarily due to a 3.2% decline in average student population. The revenue declined from the lower population was slightly offset by a 1.4% increase in average revenue per student due to improved student retention. Operating income improved by $1.9 million to $2.8 driven by expense reductions to educational services and facilities as well as SG&A. These results reflected our [indiscernible] efforts as Scott mentioned. Lower Start numbers in the second quarter continued to impact our healthcare and other profession segment. Revenue decreased $2.7 million or 8.4% are primarily attributable to [indiscernible] decrease in average student population. Excluding the merged campuses revenue decreased 6.6% to 29.5 million and average student population declined by 6.3%. Operating loss in this segment improved by 10.7%, to 2 million as a result of efficiencies and expense reductions. Operating loss excluding the merged campuses increased by 800,000 to 2 million versus the prior year. Included in the healthcare and other professional segment is our Hartford, Connecticut campus which is physically our largest facility at approximately 367,000 square feet including classrooms and student dorms. As part of our plan to return the profitability, we are working aggressively with the landlord to find other options for this property and efforts to reduce our building costs at this campus. We are still in the process although we feel we have made some progress towards achieving [indiscernible]. During the second quarter, the Hartford campus had a net loss of 1.6 million. Finally, our transitional segment, which is only comprised with our Fern Park, Florida campus saw a revenue decrease by 53.6% attributable to a 52.9% decrease in average student population. I’d like to remind everyone that student enrollment has stopped at this campus and current students are being [indiscernible] through March 2016. Corporate operating was decreased by 13.3% to 6.4 million from 7.4 million. This decrease was primarily result of the ongoing cost restructuring efforts since the second half of 2014. The financial performance of the total company without the transitional segment the two merged campuses and the Hartford campus would have been operating loss of 4.3 million versus the recorded 6.2 million. And looking at the balance sheet, we use 11.6 million to fund operations during the second quarter. As a result, we finished the quarter with a cash balance of 4.9 million. Resources available to us increased dramatically with a sign of our new $45 million loan agreement on July 31. In terms of guidance, as a result of the external factors as Scott mentioned, as well as our strategic decision to reduce costs and increase efficiencies we are updating our 2015 revenue guidance to approximately 300 million based on a decline of approximately 10% and overall Starts for the year. Additionally, we are now projecting our net loss per share to be in a range of $0.45 to $0.50. We still anticipate in generating positive cash flow for the year. With that we will now open to taking questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question which comes from Joe Janssen at Barrington Research. Please go ahead.
Joseph Janssen: Yes, good morning Scott, thanks for taking my question.
Scott Shaw: Yes, good morning Joe.
Joseph Janssen: Okay, just on the Audi, congratulations I think that’s a nice win. Can you just give the decision on how that gets rolled out for four campuses versus more campuses? And then secondly, just can’t refresh my memory, how many other agreements do you have with others [for your success]?
Scott Shaw: Well we have the – okay I go in reverse order. We have a BMW step program in our Grande Prairie facility, but we also have a Chrysler Mopar program that is at four facilities I believe as well as we do some GM training another four or five our auto schools. As far as the Audi, we are very excited by this, because obviously Audi is a great brand and we are the first school that they have partnered with this new program. And basically what they are looking for is what audience are looking for, they are looking for diversified platform they could find skilled technicians around the country to meet their local needs and overtime they will be having and I am not quite sure the number of these programs in total but they basically came to us and look to see where their needs were greatest and to be honest with you it started off with one week with one program and within three or four weeks they increased it up to four of our locations with a possible fit location that we are still in discussions with. And this program will begin until January because we are still developing the curriculum with them but it will be a really great add-on program that will help attract students will also give students some enhanced skills which will need the much smaller employable going forward. So we are very pleased with the opportunity.
Joseph Janssen: And how does the student give it, I know that one still kind of up and running just over kind the curriculum, but looking BMW GM other student enrolling caps on those or they are [indiscernible] best of the best of their student population I am just curious how that works?
Brian Meyers: Yes, they were all different models in the case of BMW those are the students who have graduated who then apply to and based also their grades and attendance and other selection criteria BMW select as individuals. The Audi program will be different, the Audi program will be one in which students will be enrolling from day one into the program and then will follow through and a take a normal program plus some additional courses with Audi and then will be up to their just like any kind of program depends on their grades and attendance as far as which dealers would select which candidates to hire.
Joseph Janssen: Does the Audi subsidize many events in terms of like tuition for student?
Scott Shaw: Not for the student as far as the subsidies that way but they do provide us with equipment cars and other tools and things of that nature to make the program as robust as possible.
Joseph Janssen: Got you. And then jumping around here, you talked about the multiyear contract, I think 4 million in the potential of 5 years of government [indiscernible] I think those run HVAC.
Scott Shaw: Yes.
Joseph Janssen: Are you -- is then [indiscernible]?
Scott Shaw: Yes 100%.
Joseph Janssen: Okay. And then a couple some number questions here. Any color you can give, you kind of given color on previous calls around that, campus footprint any significant changes in terms of one that we start versus negative starts and one for legacy, possibility or [indiscernible] profitable from the best of the numbers?
Scott Shaw: Here, actually -- yes, [indiscernible] hasn’t changed from last time I think that we’ve shared with you in the past on the automotive side we have 12 campuses of which we are expecting a 11 to be profitable one we had some management changes and expect that to be profitable again next year. On the healthcare side it’s – there is a same 11 that are profitable and 7 that are not, consistent with what we said in the past.
Joseph Janssen: Okay. Okay, and then one last, I’ll jump back in queue, actually I have more but [indiscernible].
Scott Shaw: Okay.
Joseph Janssen: Healthcare, just kind of update me on your [indiscernible] process there obviously it’s probably performing a little bit and if, your expectations are fast in terms of its you are reinvesting into those platforms, you are selling this shutting it down or just, some general color on that will be helpful? Thanks.
Scott Shaw: Sure, it’s definitely more challenge in our automotive side we are seeing more strength on the transportation and skilled trades. Over that I mean obviously, different markets do have strength in the healthcare side and that will be a long-term opportunity. And as far as, we are making the investment, we are just getting so much traction right now on the transportation skilled trade side that we are paying more attention to that as we speak. But as I also mentioned, we are funding some additional hospitals and others coming to us looking for training opportunities definitely in the healthcare sector they are looking for higher level certificate it seems across the Board and that will hopefully provide us with a future opportunity there.
Joseph Janssen: Great. Thank you.
Operator: If you would like to go ahead with another question Joe, we do have the time.
Joseph Janssen: Sure, let me just follow up one on the -- on the cost take outside of it. I think you had quantify that last quarter I think in ‘14 you said 12 million to 14 million you have taken costs out, you expected obviously to take costs on ‘15 I think you said to a lesser magnitude I am just thinking, we are -- there months passes will -- last talked any thoughts on maybe that number any increase decrease kind of the same commentary any color would be helpful? Thanks.
Scott Shaw: Yes, I don’t Brian adding different.
Brian Meyers: Great. I didn’t know really nothing is different we did add some more cost cutting for this year later on top of what we did in 2014, with salaries benefits and travel, it was an excess of for those areas of over $5 million.
Scott Shaw: I just make a general comment. Maybe obviously, our business is smaller than what it has been in the past. We have to be very mindful at the bottom line and frankly we are looking at added [indiscernible] expense savings across the Board frankly from the very top and above the Directors down the campus level. So we will continue to look at those things and manage the business accordingly.
Joseph Janssen: Okay and then just curious, you’ve -- going to this transition, it’s been going -- ongoing here for number of quarters….
Scott Shaw: Yes.
Joseph Janssen: In terms of retaining good educators, seem around just curious any color around that what you are seeing and how you are, keeping obviously people motivated and more importantly happy and saying keep in the ones that you want to see keep in the organization?
Scott Shaw: It’s a very good question. Actually the whole industry is challenged at this time. And it’s really just trying to reinforce what the message is and what we are doing I mean the good news about our business is that people that are -- in our business are doing it because they enjoy the excitement of helping the students and so that excitement still exists at the same time they obviously see challenges out there and maybe populations are well then do would like them to, so its constant communication with the feel and making them aware for the successes we are having as well as being realistic about what are our challenges are. So it’s something that we pay a lot of attention to.
Joseph Janssen: Great. Thanks for taking my questions.
Scott Shaw: Appreciate Joe.
Operator: Yes, thank you. Then next question is from the line of Doug Ruth of Lenox Financial Services. Please go ahead.
Doug Ruth: Hi, thank you for hosting the call and answering questions. Could you give us some color about what happens when you have the corporate sponsored events how the interaction seems to work between the faculty and the people that are coming to visit the schools?
Scott Shaw: Good morning Doug. We have a lot of different models out there, we have some models frankly where we host events at the corporate side itself for example it’s an auto dealership where we might host inspiring high school students and their families to come and learn more about Lincoln as well as learn more about the automotive industry. So that’s one way that we do it. Other times let’s say we have events we have the CMC program up in Mahwah and there we constantly are having industry people come in either just to meet our students or to interact with our faculty understand what we are teaching as well as having Advisory Board meetings to find out what help them in that local markets to have successful students. The Caterpillar example that I gave is kind of a different one but the same idea two days are dedicated whereby no one else was invited on to our campus besides this Caterpillar dealerships and we have banners, we have events going on and it really gives the dealerships a great opportunity to interact with our students as well as with our faculty and see what we do and see the shops and here what’s going on. So it’s really a broader way of opportunities that we have with industry and we are opened frankly to all their ideas and as we’ve said earlier, the first [indiscernible] parties who are getting more and more interest from our employers to help them. The challenges that we have in the challenge base is that, there is challenges in attracting more people into their respective industries. But given this need and demand I am very confident that will work other way to make people aware of what the opportunities are which will hopefully benefit us as well as our employers.
Doug Ruth: It sounds like this experience say you are getting much [indiscernible] doing that when you are doing it, it just seems like possibly there is more interest and there is more people coming to each of the events is that true?
Brian Meyers: I certainly hope, I certainly believe that we have a much greater focus on this type of event we have realized that the old days of being able to run TV ads and attract your audience, they’ve gone away and so we definitely need to have more local presence, more interaction with our local communities and more involvement by our employers and we see that as a great strength and something that frankly differentiates us from some of our competition but also enables us to serve our students and our employers a lot better. So here we will continue to put focus on this and I think as usual said every time we do we come up with new ideas and we get better ad. So that’s always a plus.
Doug Ruth: I think that’s impressive. Is there -- do you feel like there is any pockets of strength in the transportation and skilled trade segment anything where you feel like you are maybe gaining some traction?
Scott Shaw: No, I really don’t see anything that’s really standing out above all others to be honest with you.
Doug Ruth: Okay, how about you mentioned it possibly you felt like something you were moving forward with the Hartford campus as their -- you feel like is a resolution in site to the situation?
Scott Shaw: I can say that we are getting to closer to the resolution I feel more of confident about where it’s going and the owner of the property has two initiatives underway which he is very confident and that will end up in a positive outcome for us. So certainly, the light at the end of the tunnel is getting bigger but that’s about all the spasticity [indiscernible] give to it but its under his control what will happens.
Doug Ruth: The other thing that you’ve commented on little bit in the past but what about any kind of pending asset sales is there anything new on ad -- on ad initiative?
Scott Shaw: Well, there is nothing new to report on that I mean again we continue to look at our portfolio we continue to look at opportunities to create greater liquidity to rationalize our business and so we will continue to pursue those initiatives but nothing new to report on that.
Doug Ruth: Okay and how do you think the nursing program and the medical assistance program how are those two programs performing into -- according to your expectations?
Scott Shaw: Well, according to our expectations they are performing below our expectations both were down and that’s unfortunate and somewhat low perplexing to asset times given all the talk everyone has about the demand for healthcare but I think that we are looking at putting in some different plans in place increasing a scholarship here in New Jersey for nursing that will help drive more demand. So I think that we can address the situation but it is kind of our given all the talk about the huge growth in healthcare allowed us program to not being performing better.
Doug Ruth: Do you feel like you have your arms wrapped around, what the challenges are in recruiting people for these programs?
Scott Shaw: Yes, I think that we do have our understanding of what’s required for each of these programs such as that in each market there are different constraints coming into play but I think we definitely have an idea of how to address that.
Doug Ruth: And I think that you focus your [indiscernible] doing good things for the students and you are making good decisions for the shareholders?
Scott Shaw: Well, thank you Doug, I appreciate that.
Operator: Thank you. [Operator Instructions] as we do have no further questions, so I’d now like to turn the call back to Mr. Scott Shaw for closing remarks.
Scott Shaw: Thank you, Dave. Thank you all for participating in our call today. And we look forward to keeping you informed on our progress. In addition, we will be at the BMO Back to School conference in September and look forward to seeing some of you there. Have a great day.
Operator: Ladies and gentlemen, you may now disconnect. Thank you for your participation in today’s presentation. Good day.